Chengwen Zhuo: Good afternoon, distinguished investors, analysts and friends from the media. Good afternoon. Welcome to the Bank of China 2023 Annual Results Release. I'm Zhuo Chengwen, Secretary of the Board of Directors of BOC. Today's release is Co-Chaired by me and Ms. Yu Ke, spokesman of BOC.  
 The conference will have venues in Hong Kong and Beijing, and we have live streaming. We welcome all of you.  
 First of all, allow me to introduce the members of senior management who are present today. Attending at Hong Kong venue are President, Liu Jin; Vice President, Zhang Yi; Chief Risk Officer, Liu Jiandong. Attending at the Beijing venue are Mr. Lin Jingzhen, Vice President; Chief Information Officer, Meng Qian. In addition, we have invited Mr. [ Yao Zhang Jian ] as the rep of Independent Directors attending the meeting at the Hong Kong site.  
 The bank's 2023 annual results were announced to the public on March 28 and is currently available for download from the bank's official website or can be viewed at the bottom of the live streaming page. All financial figures presented today have been prepared using International Financial Reporting Standards, unless otherwise stated. Today's meeting has both annual results parts and Q&A sessions.  
 First, I would like to invite President Liu to give us a speech on the operating results. 
Jin Liu: Dear investors, analysts, friends from the media, good afternoon, everyone. It is a pleasure to be in Hong Kong SAR for the bank's financial year 2023 results release to talk to our friends at the Hong Kong venue, Beijing and online.  
 First of all, on behalf of BOC, I would like to extend a warm welcome to all of you and express my heartfelt thanks for the support and assistance you have given to BOC over the years.  
 I would like to briefly introduce BOC's 2023 operating results and our ideas for this year, followed by specific exchange sessions with other members of the management on issues of your concern. 2023 was the opening year for the comprehensive implementation of the Spirit of the 20th CPC National Congress. BOC thoroughly implemented the decision-making and the deployment of CPC Central Committee, and State Council actively provided high-quality financial services for social economic development. The group's operation and management in all aspects was stable and improving. Operating efficiency, comprehensive strength and market competitiveness continue to improve, realizing good performance.  
 First, the financial performance was steady and progressive. Operating revenue increased by 6.42% year-on-year. Profit before provisioning increased by 3.68% year-on-year. Profit after tax amounted to RMB 226.371 billion (sic) [ RMB 246.371 billion ], up 4.07% year-on-year. NIM was 1.59%. Net fee income increased by 5.31% year-on-year. Cost-to-income ratio was 28.5%, down 0.42 percentage points year-on-year.  
 Second, synergistic development of asset and liabilities. Asset scale reached CNY 32.43 trillion, and liability scaled CNY 29.68 trillion, with growth rate of 12.25% and 12.7%, respectively, both hitting 5-year highs. The structure of assets and liabilities continue to be optimized, the proportion of deposits to liabilities rising by 0.47 percentage points.  
 Thirdly, the risk resilience continued to strengthen. Nonperforming rate was 1.27%, a steady decline from the end of last year. Provision coverage ratio was 191.66%, up 2.93 percentage points from the end of last year. Capital adequacy ratio is 17.74%, up 0.22 percentage points from the end of last year.  
 Fourth, continue to gain market recognition. We have been selected as a global systematically important bank for 13 consecutive years and has won numerous awards in areas of trade and finance, cross-border custodianship, foreign currency settlement, sales of foreign currency, inclusive finance and ESG.  
 Our distinctive advantages continue to be consolidated. The 3 major international credit rating agencies of the bank continue to rate us, maintaining the highest level in the domestic financial industry, taking into account our operating results, financial position, future developments and other factors. The Board of Directors, after deliberation, recommended that the dividend of CNY 2.364 per 10 shares to be paid out in this year, with the dividend payout ratio remaining at 30%. Meanwhile, our share price at 2023 has been outstanding in both markets and industry sectors, bringing real investment returns to our shareholders and contributing to the stability of the capital market with the bank's own strength.  
 In 2023, BOC implemented a new development concept in complete accurate and comprehensive manner, actively [ support ] the real economy, maintain financial stability, achieve the new results in the development of various business.  
 First, optimized financial services to facilitate high-quality development to real economy, increasing support for major strategies, key areas and weak links. Domestic RMB loans increased by CNY 2.28 trillion for the year, achieving total growth and structural optimization.  
 With the strong support for the construction and modernized industrial system, the balance of loans on strategic emerging industry, manufacturing industries exceeded CNY 1.9 trillion and CNY 2.5 trillion, respectively, with increases of 74.35% and 28.05%, respectively.  
 We formally established the concept of equal treatment, help private companies to grow and develop the balance to them -- the loans to them increasing by CNY 790 billion, up by 27.22%. Actively support the comprehensive revitalization of countryside, increased credit investments in agriculture-related areas, with the loan balance increasing of CNY 580 billion, up by 28.53%. Actively support the stable and healthy development of real estate market by implementing the policy of lowering interest rate for the first home loans and the policy of guaranteeing the delivery of the buildings. For the balance of loans, rental housing, the guaranteed rental house increased by 97.48% and 181.98% respectively.  
 Adhering to financial services to the people. We deepened the long-term mechanism to stabilize and expanding jobs, issued more than CNY 290 billion -- no, CNY 270 billion in special loans to 47,000 clients to stabilize and expand jobs. 
 Supporting expansion of consumer spending. Balance of nonhousing consumer loans grew by 44.91%. Financial assets of full volume personal customers reached CNY 14.29 trillion; private banking customers, CNY 2.69 trillion, with a number of mid- to high-end customers and the size of the financial assets growing steadily.  
 Secondly, we have actively responded to national policies that done good job in 5 areas. Continue to increase support for science and technology financing stability. Capability to provide financial services throughout the full life cycle, providing CNY 1.47 trillion of credit support to 68,000 high-tech companies, with a growth rate of 30.94%. 
 Consolidating advantages of green finance, expanding financing for key areas such as construction of clean energy system, upgrading green infrastructure, promotion and application of low-carbon technologies. The balance of green credit exceeding CNY 3 trillion, an increase of 56.34% from the end of last year, successfully realizing the debut of a number of sustainable bonds in the industry, the ranking #1 in the number of authoritative rankings of Chinese banks in the field of green finance.  
 We have deepened inclusive finance for the benefit of the people and enhance the quality and efficiency of financial services for small and micro-sized enterprises. The balance of increased finance amounting to CNY 1.76 trillion, with an average growth rate of 40% in the past 3 years. And the number of customers exceeding 1.07 million, thus further improving the convenience and accessibility of inclusive financial services, expanding the influence of the pension financial market, actively serving the construction of multilevel, multi-pillar pension insurance system, creating a complete shelf experience of pension financial products. 
 Providing comprehensive pension financial services. The scale of the pension trustee funds exceeded CNY 200 billion, an increase of 23.29%. The number of [indiscernible] accounts managed by the corporate annuity exceeded 4 million. The scale of pension trustee operating funds reached CNY 992.4 billion. The market share of the individual pension accounts was enhanced.  
 Develop digital finance and continuously improve our digital financial services by focus on key areas, such as digital infrastructure products, channels, risk control, marketing and operations. The number of digital RMB corporate merchants and consumption volume increased rapidly, and the application of the scenarios [ were reached ] continuously. Continuously increase investment in science and tech, steadily advance construction of the group's information technology infrastructure. 
 Version 6.0 of our offshore personal mobile banking was released, and the coverage of corporate Internet banking was further expanded. The number of monthly active customers of mobile banking reached 87.76 million, a year-on-year increase of 15.17%. The transaction volume in the mobile banking reached CNY 54.88 trillion, up by 17.46% year-on-year. The number of enterprise Internet banking customers reached 8.19 million for the year, an increase of 13.31% from the end of the previous year.  
 Thirdly, we have consolidated [indiscernible] and globalization to better serve the overall situation of the country's high level, opening up to the outside world. Optimized the global business network with the successful opening of the Riyadh branch in Saudi Arabia and rep office in Papua New Guinea. Overseas institutions after -- covered 64 countries and regions, including 44 countries along the Belt and Road.  
 Efforts were made to enhance the market competitiveness overseas institutions. Consolidated, expanded [indiscernible] in Hong Kong and Macau. Assets of overseas commercial banks exceed USD 1 trillion, with a steady increased contribution to the group's profits. BOC has long been rooted in Hong Kong and served Hong Kong, give full play to its globalized service advantages and customer bases, supporting Hong Kong in consolidating and enhancing the status as an international financial center.  
 BOC has been promoting the internationalization of RMB in a prudent and solid manner, increasing the number of RMB clearing banks to 15, maintaining the world's largest cross-border RMB clearing -- BOC has been promoting the internationalization of RMB in a prudent and solid manner, increasing the number of RMB clearing banks to 15, maintaining the world's largest cross-border RMB clearing and settlement volumes.  
 Actively played our role as the main channel for foreign trade and economic cooperation, supported more than 1,000 credit projects in construction of BRI, with a scale of more than $316 billion. Providing innovative services for the new -- 3 new types of exported goods, cross-border e-comms, overseas warehouse and other new homes or borrowing trade. Volume of international settlements by domestic institutions reached $3.37 trillion. Help build financial bridges between domestic and foreign markets, supported global exhibitions such as the China Import and Export Fair, consumer expo and fair for trading services. And effectively raised the level of payment facilitation for people coming to China from aboard.  
 The ability of integrated services and linked expansion continued to improve. The group contribution of the integrated business segment rising by 3.34 percentage points. BOC Aviation leasing, the BOC Wealth Management recorded rapid growth in after-tax profit terms. BOC Fullerton and BOC Asset and other organizations increased their market shares in major business sectors. BOC [ funds ramped ] in the terms of noncurrency public placement scale improved significantly. BOC securities have made breakthroughs in the sponsorship business to serve specialized, featured innovative companies, coordinated development and security, effective prevented result financial risks, strengthened prevention at its source, deepened the construction of comprehensive risk management system, continued to strengthen the ability to control risks in key areas. 
 Outsourcing risks and data security risks have incorporated into comprehensive risk management and control. Effective identification and control of nontraditional risks have been strengthened. The ability to safeguard production safely and network security has been continuously ramped. Used the policy toolbox in accordance with the [ city's ] policy. Took initiative to optimize the real estate credit structure. Met the reasonable financing needs of real estate enterprises of different ownership systems. Risk appetite was [ retracted to ] the management mechanism of operational risk. Derivative risks were improved. Local and foreign currency funds were rationally arranged to safeguard the group's liquidity. Group's major risk indicators performed soundly, and this risk offsetting capacity was maintained at a reasonable level.  
 Fifthly, we deepened the reform and innovation and enhanced the effectiveness of the group governance, proactively adapted to the changes of the times and requirement of high-quality development. Optimized the corporate government system, revised the articles of association, improved the rules of procedure of the Board of Directors, enhanced the standardization of professional level of corporate governance. Guided by serving the overall situation in the country enhancing marketing competitiveness, the group has systematically reformed and improved the performance appraisal system strongly, driven the growth of business scale and improvement in structure and quality.  
 Continuously promote the [ construction ] of the group's information technology, enterprise-level architecture, optimize the science and tech management system, steadily advance the digital transformation, the operation and management, vigorously created cultural pragmatism and commitment, seeking the truth on facts, paid close attention to process management and post evaluation, strengthened group's synergy, improved the working mechanism of one-point access to our global services and integrated synergy mechanism.  
 Looking into 2024, BOC will comprehensively implement the decisions of the central Financial Work meeting and the Central Economic Work meeting and to improve our strategic capabilities and professional level of serving the real economy to help build a financial powerhouse and to facilitate the high-quality development of the group.  
 First, we will focus on 5 main areas and to provide financial services catered to the features of the high-tech companies and facilitate the green transition and to improve the quality of inclusive finance and to accelerate the pension finance work and accelerate the transition of digitalization.  
 Second, to support the expansion of expected demand, sustainably optimize financial supply and promote the steady growth of consumption and expand effective investment and facilitate the building of a modern industrial system and to serve the cooperate -- coordinated development strategy of the region -- of the country.  
 And the third, to serve high-level opening-up will improve the comprehensive financial service level of one-point access and global response and to facilitate the building of the Belt and Road and to maintain our advantage in global business. 
 Fourth, to focus on fundamental work, strengthen the granular management of capital and optimize the liability structure and to have targeted supply of credit and improve the coordinated mechanism, so as to grow our customer base and the accounts.  
 Number five, to improve the comprehensive risk management system, improve the quality and effectiveness of traditional risk management and to prevent nontraditional risks and implement regulatory requirements in a high-quality manner to maintain financial stability.  
 Dear friends, this year is the 75th anniversary of the founding of the PRC. This is also an important year for implementing the 14th 5-year program. BOC will continue to work hard and be pioneering in committing ourselves to financial development with Chinese characteristics, so as to achieve high-quality development of the bank and make greater contribution to shareholders, the society and the country. Thank you. 
Chengwen Zhuo: Thank you, President Liu. Now we have the Q&A session. [Operator Instructions] Now the floor is open to questions. First of all, I'd like to open up to the investors from the Hong Kong venue. 
Meizhi Yan: I'm Yan Meizhi from UBS. First of all, congratulations to BOC. Despite the complex environment, BOC has maintained a positive growth in all main indicators of its operating income and has better stock performance. 
 So my question is, in 2024, there may be even greater challenges. And there are -- the external environment is very complex. And domestically, the government has introduced a lot of stimulus policies, but still, it will be a tough year for the bank. My question is, how will BOC leverage its unique advantages, both in China and overseas? And what will be the main operation strategies for this year? And what will be the main growth points and the key business areas? 
Chengwen Zhuo: Thank you, Madam Yan from UBS. So this is about the operations strategy for the bank in 2024. I'll address this question to Mr. Liu. 
Jin Liu: Thank you for your question. As you know that for 2024, the economic situation around the world will remain complex. China has introduced a series of policies to stabilize expectation, employment and to facilitate the recovery of the economy. 
 The Central Financial Work meeting has identified the 5 main areas for the financial institutions to focus their efforts on. Social expectation will continue to improve. And the modern industrial system will be built, and the effective domestic demand will improve, and the regional coordination is also improving. I think this has created good foundation for the steady development of the bank. 
 For BOC, as you have mentioned, how can we leverage our advantage in both China and overseas to achieve better development? We will continue to follow the Xi Jinping's support on socialism with Chinese characteristics in the new era and implement the decisions made at the Central Financial and Economic Work meeting and to seek progress while maintaining stability and to build a financial institution with Chinese characteristics and global operation and to improve the high-quality development of the bank. 
 To be specific, I would like to focus on the following areas. First, to strengthen support for the real economy. So building on last year's efforts, as I have mentioned, for the first time -- our loans for the first time exceeded CNY 2.2 trillion. And this year, we expect our domestic RMB loan will continue to increase and will focus on the 5 main areas of work and focus on loans to the technology area, green loans and key areas. We will continue to adjust the existing loans and to make full use of those existing loans and to recover the maturing loans and to write off the nonperforming loans and to revitalize the [ low-efficiency ] existing financial resources and to optimize the supply of financial resources. 
 And second, we will strengthen the foundation of high-quality development and expand the corporate client base and to have a multi-tiered and -- marketing system by different customer categories. We will also promote client account expansion and to promote cross-sales of cross -- of inclusive finance, cross-border settlement and cash management. We will also have customer acquisition by batch and through scenarios. We will also acquire more individual client and strengthen cross-border sales of key customer base and to target the young customers and to focus mainly on the mid- to high-end and cross-border customers and to provide consumer loans, operational loans and other one-stop financial services. 
 Third, improve market competitiveness. We will strengthen our business foundation and to focus on some key source businesses, such as cash management and rapid payment. We will also promote the coordinated development of deposit business, both in quantity and price so that the bank will continue to support the real economy. We will closely follow the market dynamics and to meet the customers' needs so as to innovate our products and improve our supplies. We will also strengthen cooperation between banking and securities business and to have more coaching for those specialized and innovative businesses who want to get listed and to provide better services for local government debt issuance. We will also improve our mobile banking products and to improve the application scenario coverage ratio of [ ECN ] to improve customer experiences. 
 And fourth, to maintain our advantages, we will seize the opportunity of high-level opening-up, continue to strengthen our advantage in international business. We will strengthen our leading position in domestic foreign currency business and to better leverage our advantage in foreign currency settlement and sales and cross-border remittance. Also, we will promote the high-quality development of overseas institutions, leverage the role of key areas and key institutions and improve the localization operation level, so as to build the BRI with high quality. And we also make sure that our overseas institutions should be bellwether among local Chinese banks. 
 And in Hong Kong, we will better serve our international clients and support Hong Kong in consolidating its position as an international financial center. And in terms of internationalization of RMB, we will promote the cooperation of Guangzhou, Macau and [ Hangzhou ] as well as the -- become a main channel bank for RMB business in Hainan, FTZ and the Shanghai Lin-gang Pilot Zone. We will also become the RMB's clearing bank and to enrich the offshore RMB product and services and improve our market competitiveness for the RMB clearing businesses. 
 So these are the main areas of our focus, and we will continue to improve our quality and efficiency and to provide better services for our clients, to deliver more value for customers and to make even greater contribution for the society and for China's high-level opening-up. Thank you. 
Chengwen Zhuo: Thank you, President Liu. Next question from the Hong Kong venue. 
Richard Xu: I'm Xu Ran from Morgan Stanley. My question is around the development strategy for the credit business. So for 2024, what are the main strategies for the credit business? And considering the regulatory requirement and market demand, what's the planned growth for the credit business? And what are the key areas, key industries and key regions of credit supply? 
Chengwen Zhuo: Thank you, Mr. Xu. This is about credit business development, and I'll address this question to Vice President Lin. 
Jingzhen Lin: Thank you for your question. In 2023, BOC's lending business has achieved higher volume, wider coverage and a better structure, and domestic RMB loan has achieved Y-o-Y growth for 25 consecutive years. And the cumulative growth for the whole year and the Y-o-Y growth has maintained -- has beat the peers, and the domestic foreign currency loans growth also is higher than the average level of the whole industry. And we have even greater advantage in this respect and have expanded our customer base. In particular, the growth of loans in key industries and clients such as inclusive loans for private businesses, the green businesses and strategic emerging industries have been higher than the average loan growth and that the credit structure continue to optimize. 
 As the next steps, BOC will continue to serve the real economy to improve the quality and efficiency of credit supply and to have balanced and steady supply of credit. Overall, we expect that for the whole year of 2024, the domestic RMB loan will maintain steady growth, and the corporate loans will continue to have very high growth in terms of new loans. And at the same time, we will increase the contribution of consumer loans in overall loan growth and to meet the needs for rigid housing needs and the needs for improved living conditions and to expand the new type of consumption scenarios and effectively support the promotion of consumption and stabilization of investment. 
 Over -- besides, BOC will continue to leverage our advantage in global and integrated services, actively serve the foreign-related and overseas clients and to improve the facilitation of cross-border investment and finance and to play our due role in financial opening-up and building a financial powerhouse. And in terms of structure, BOC will continue to optimize the supply of new loans and to provide more credit for high-tech businesses, small- and medium-sized private businesses, advanced manufacturing, green development, inclusive old-age care and other areas and focus on 5 areas of our business. 
 Now we have developed separate credit growth plans for the abovementioned key areas so as to ensure targeted and scientific support. At the same time, we also focus on vitalizing the less-efficient credit resources through collection of maturing loans and the write-off of NPLs. We will liquidate the less-efficient credit assets and to make more room for more credit. And we will prioritize those industries and clients who have high-efficient use of capital and meet the high-quality development needs, so as to improve the efficiency of credit resources so as to provide better support for economic and sustainable development. 
 And in terms of regions, now our credit clients are mainly concentrated in some economically developed provinces and cities, and they constitute the mainstay of credit growth. And while allocating more resources in those key areas, we will also actively facilitate the implementation of regional key strategies, the regional coordinated development strategy and the development strategy of function areas to promote the balanced and coordinated development of developed regions and the less-developed regions between Western China and Eastern China. 
 And in terms of industries, BOC will continue to focus on the key areas and weak links of the real economy and facilitate the development of the new quality productive force and the building of a modern industrial system. 
 Firstly, around strategy, emerging industries, advanced manufacturing industries, actually support the new-generation information technology, high-end equipment, new materials, biopharmaceutical, high-end medical devices, consumer growth, new energy and intelligent network vehicles. 
 Second, support the green development of industry and low-carbon transformation, optimize financial services in areas such as energy conservation, environmental protection, green low-carbon cutting-edge technology R&D, recycling the wastes, construction of large-scale wind and [ photovoltaic bases ]. 
 Thirdly, optimize the financial services to the revitalization of the countryside, provide inclusive financial services. 
 Fourthly, focus on elderly care, education, leisure, sport, cultural and the medical sector. Provide pension finance services. 
 Number five, support the upgrading and digital transformation of conventional manufacturing sector, so that will be moved to the high end, become more intelligent and greener, help large-scale equipment renewal, do a good job of financial services for the digital economy. 
 Sixth, focus on the construction transport for the conservancy, energy and other infrastructure projects. Increase credit investment. Promote the effective reduction of logistics sector cost. So thank you very much. 
Chengwen Zhuo: Thank you, Vice President Lin. Next question goes to Hong Kong venue -- the Beijing venue. My colleague, in Beijing, please help me organize the next session. 
Yingqi Lin: I'm a banking sector analyst from CICC, Lin Yingqi. I want to ask a question about NIM. NIM in the banking sector, as a whole, declined in 2023. But BOC's NIM showed much higher resilience. Looking ahead, what about your forecast of NIM in this year? What are the main sources of pressure? How are you going to respond? 
Chengwen Zhuo: Thank you very much. This is really a concern and focus of the whole market. Vice President Zhang Yi? 
??: Thank you very much for your question. Yes, we know NIM is something all the investors and analysts are really concerned with. Last year, the NIM of the bank was 1.59%, down by 16 basis points. But the change was relatively smaller compared with other listed major banks. All the banks have released their number of NIM. 
 I think there are 2 reasons. First, we are using our own strategies of growth and volume growth. And also, on the other hand, we had advantages of foreign currency-featured businesses. They brought positive support, contributing 1 quarter of NIM. And also, there was some major interest hike in overseas markets, giving us strong support. And this year, NIM is also under great pressure. The LPR rate continued to decline, driving domestic RMB asset yields lower and lower and because last year, the RMB LPR dropped twice, which will have a major impact on the whole year this year. 
 Secondly, in February this year, the 5-year LPR was lowered by 25 bps, having impact on the next 3 quarters. And also in September last year, the stock RMB housing mortgage interest rate was adjusted, too. Secondly, the deposit cost is still characterized by a strong rigidity. We know that deposit interest rate was cut 3 times last year, but the trend of [ rep being ] regular and the [ long-termization ] of deposits are really strong. You see all the data. We had the height of interest rate for deposits, and also, the market competition was really fierce. 
 And thirdly, the bank has high proportion of foreign currency business and is also relatively affected by the shift of foreign currency monetary policies. For example, the Fed's interest rate hiking cycle is nearing its end. So the foreign currency advantage we enjoyed last year may not remain for this year. So this year, the bank's NIM is under great pressure. 
 We are taking measures to proactively manage NIM by ourselves. First, continue to optimize our asset structure and strive to mitigate the decline in asset yields. Fully safeguard the financial needs of real economy entities. Just now President Liu talked about our scale of loans and credit extension. Further strengthen the support of 5 key areas. Actively support the transformation and upgrading of household spending, increasing the investment in personal housing loans and customer loans. We are having higher return for consumer loans, occupying less portion of total assets with much lower risk, and we will increase more resources to this regard. 
 We will need to revitalize inefficient stock of credit resources. For example, the scale of revenue earning of high-capital occupying businesses will be cut, increase bond investment and lengthen the duration of bonds rationally and also improve the synergistic benefits of bond investment, increase bond investment, enhance the bond yield. More effectively manage liability and liquidity, continue to reduce liability costs, make our scenarios more granular. We're going to have new scenario business like payroll, business, quick payment, third-generation social security card, pension service, corporate treasury construction services and also strictly control the proportion of high-cost deposits, for example, contractual deposits, large-denomination deposit paper with the duration at above 3 years. Their size will be strictly controlled in order to reduce the overall cost. 
 Thirdly, practicing the business philosophy of customer-centered services, enhance comprehensive income sources. This is for the domestic part from asset and liability point of view. And overseas, we will seize the opportunity of high foreign currency interest rates, support expansion of high interest assets, scale up the total size and lengthen the duration, actively manage liabilities. We can shorten the duration of liabilities in the overall trend of interest rate cuts. And then we could be more active. 
 Closely monitor the management policy trends of the Fed and other major economies, take preventive measures and avoid the negative impact of foreign exchange rate on NIM. We will very actively manage NIM, take preventive measures, sort of hedge the potential decline of NIM to sort of outperform the financial peers' average. Thank you. 
Chengwen Zhuo: Thank you, Vice President Zhang Yi. Next, more questions from the Beijing venue. 
Unknown Analyst: I'm from [ Guangfang Securities ]. I'm [ Mei Qing ]. I'm a banking sector analyst. I want to know more about asset quality. Please tell us more about the NPLs in real estate, micro businesses, mortgage, consumer lending, credit cards, et cetera, as well as the asset quality status of overseas business of BOC last year. 
 And looking ahead to 2024, what other main sources of pressure on asset quality? And what are the expected trends in your opinion? And what about the provision coverage ratio and credit cost? 
Chengwen Zhuo: Thank you very much. Our Chief Risk Officer, Liu Jiandong, will answer your question. 
Jiandong Liu: Thank you very much for your question. Yes, set of smaller questions. Regarding the asset quality of the bank in 2023, it has been stable and improving. In 2023, very robust. At the end of December, NPL asset was RMB 253.205 billion, an increase of RMB 21.528 billion from the end of previous year. Nonperforming rate, 1.27%, a decrease to 0.05 percentage points from [indiscernible] last year. Balance of the overdue loans amount to CNY 210.629 billion, increase of [ CNY 18,528 million ] from the end of last year. Overdue rate was [ 1.6% ], a decrease of 0.04 percentage points from the previous year. 
 The difference between overdue and nonperforming loans was minus CNY 42.6 billion, which has been netted for 7 consecutive years. In 2023, our economy generally rebounded and improved, and we optimized our management mechanisms and also disposed of large quantity of nonperforming assets, keeping our asset quality at a good level. 
 You're talking about some specific areas. In 2023, we reinforced the exposure of -- and the strength, intensity of the disposal of NPA in the real estate sector, and the volume and the rate dropped. And the balance was CNY 48.1 billion by the end of last year, and nonperforming rate was 5.51%, decrease of 1.72% from the beginning of the year -- the other previous year. So in the real estate sector, the NPL is well under control. 
 Going forward, we will continue to build our coordination mechanism, the 3 major projects from the housing, et cetera, adhering to the principle of lower-based, market-based disposal of NPL, maintain stable orderly real estate financing, helping improve our salability status, real estate enterprises. Strengthen the monitoring, the disposal of real estate enterprises, credit risks, comprehensively apply various measures such as restructuring, write-off transfer to diffuse the real estate sector risks. 
 On the other hand, in terms of the inclusive finance, this has been growing quite well. And also, of course, the social expectation is quite big. Economic recovery was not strong enough. In certain areas, the asset quality did slump. By the end of last year, the NPL was around 1% -- below 1% by the end of last year. Asset quality is actually outperforming the bank-wide average. 
 In the future, continue -- we will continue to pay close attention to this sector while truly reflecting the asset quality, flexibly utilize various Board policy tools to support enterprises with better business prospects to tide over the difficult times. And those who are no longer viable, we would dispose of the risks. 
 And you talk about mortgage, consumer loans, credit cards and other private businesses. We focus on prevention control, potential risks, such as overdue loans and the resolution of nonperforming stock with others. The asset quality remained reasonably stable. NPL rate of personal housing bond [ gave 0.48% ], slight increase of 0.01 percentage points from the end of previous year. Nonperforming rate of nonhousing consumer loans was 1.24%, a decrease of 0.04 percentage points from the end of previous year. Credit card NPL rate decreased by 0.19 percentage points from the end of last year. In the future, we will further strengthen the asset quality control of the personal businesses, continue to iterate personal loan products and systems, actively resolve the nonperforming stock to ensure high-quality development. 
 You talk about offshore asset quality. Yes, in 2023 due to the module factors such as interest rate hikes outside the country and spillover domestic housing risk, just like other financial peers, the quality of asset overseas declined a little bit. For the whole year, NPL balance and rate all dropped, and the NPL increased to 1.49%, a common issue of all big banks overseas. 
 Offshore nonperforming rate is still at a better level compared with the financial peers. Taking Hong Kong, Macau, as an example, we're actually outperforming the average of the local peers. We will continue to stabilize the quality of the overseas assets by continuing to optimize the credit structure, strengthening study of risk trends and stepping up efforts to dispose of nonperforming assets, especially in the real estate sector and to have our advantage over the peers. 
 And for 2024, in recent years, I think you have addressed this question to a lot of banks. And like our peers, BOC will not make any further predictions. As for the specific measures, we will continue to carry through our successful experiences and to focus on the following areas: first, continue to implement the arrangement of the central government in preventing and mitigating the key risk areas and to take a comprehensive and coordinated approach in addressing the areas in the real estate market and the local government debt. 
 And second, to deepen and improve the comprehensive risk management system, improve the risk governance capabilities and to set up defense -- lines of defense for key risk factors and to cut off the transition channel for different types of risks. 
 And third, to have early identification, early warning, early exposure and early treatment. Also, we will use high technologies to have a smart transition of risk management so that we can effectively identify and mitigate the potential risks. And also, we would have a case-by-case approach and to resolutely handle the existing large risks and to push ahead the liquidation and collection efforts so as to turn the burden into assets. 
 And number four, we will address the problems through development, so have a benign interaction between high-quality development and high-level security. And we will focus on the 5 main areas of work and to improve the overall structure and to lay a solid foundation for greater risk management. 
 And number five, we will accurately reflect the quality of the assets and to implement the new requirements of the regulators and to assess the risks of the key areas and to set aside sufficient provisions in a prudent manner. 
 You also mentioned the provision coverage ratio and credit cost. So by the end of 2023, the group's NPL provision coverage was 191.66%, up by 2.39 percentage points compared with previous year-end. And the credit cost was 0.57%, up by 0.01 percentage points. 
 So over the past 2 years, we have strictly complied with the regulatory requirement to monitor the asset quality changes. And as the next steps, we will continue to have granular management and improve the risk identification and the early warning capabilities and to keep the provision coverage ratio and the credit cost at a reasonable level. So we are confident to maintain the stability of our asset quality across the group. Thank you. 
Chengwen Zhuo: So before the results release, we have actually announced the public -- the capital market announcement and have selected some questions. And we have responded to some of the questions. And there is a question about capital and dividend. And here, I would like to read it out on the investors' behalf. 
 The question is, in developing -- in supporting the real economy and promoting rapid development of the business, the bank will have higher requirement for the quality and quantity of the capital. My question is, how will the BOC ensure that the capital will have strong support for the sustainable development of the business? And what are the replenished plans for different types of capital in 2024? And will BOC maintain a stable payout ratio? 
 And I will address this question to Vice President, Zhang Yi. 
??: This is a question about capital, capital replenishment and the return on capital investment. So I know you're very interested in these questions. In recent years, to serve national key strategy and to support the real economy, the banks have maintained rapid credit supply, and for example, the RMB loan increased by over double-digit growth. And that means capital has been -- capital use has also accelerated. And last year, BOC has adopted a dual strategy of endogenous accumulation and exogenous replenishment. 
 In terms of the numerator, in addressing the profit question, we have said that BOC has adopted the strategy of coordinated development of deposit quantity and price. And we are a little bit better than our peers in this respect. Therefore, NIM has -- net interest income has increased by 1.58%, and the net fee income has increased by 5.31% year-on-year. So the profit -- after-tax profit attributable to shareholders grew by 2.38%. And therefore, we have strengthened our endogenous accumulation of capital. 
 Also, we have accelerated exogenous replenishment. Last year, we have issued a CNY 250 billion of perpetual bonds and Tier 2 capital bonds. And this has set the stage for TLAC compliance by 2025. 
 And in terms of the denominator, we have strengthened the granular management of the capital. So the growth of risk assets is lower than the overall asset growth. So the weighted average RW growth is less than 10%, which is 2 percentage points than the overall asset growth. And 2024 is the first year of implementing the commercial bank capital management regulations or the new Capital Rules, and this is an important year for TLAC compliance. 
 BOC will earnestly implement the spirit of the Central Financial Work meeting and to seize the opportunity of high-quality development to promote the growth of both quality and quantity. And we will further strengthen capital discipline and promote the transition of development models so as to comply with TLAC requirements on schedule. And we will continue to replenish our capital from both internal and external sources and to have proactive management of NIM. 
 This year, we have taken some measures, very aggressive measures to strengthen NIM management. Also, we will expand revenues from intermediary services or noninterest services to accumulate more exogenous capital. At the same time, we'll also have multiple channels of capital replenishment. The shareholders' meeting has approved CNY 450 billion of capital instrument and CNY 150 billion of TLAC noncapital debt instrument replenishment plan. 
 And also, I would like to let you know that this is a relatively -- there is a little increase over the previous year. And we have already completed issuance of CNY 220 billion of Tier 2 capital bonds. And based on the investors' demand, market environment and other factors, we will steadily advance the issuance of the perpetual funds, the Tier 2 capital funds and TLAC noncapital bond instruments. And actually, in 2024, we have done a lot of work in the granular management of capital. And we will focus on each type and each product, and the management has made a very detailed plan and has mobilized the whole bank in this work. I will not go into detail in this respect. And you can see from our actual CAR performance. 
 Also, we will take an integrated approach to improve the return on capital investment and to ensure we will maintain the value of state-owned financial capital. So BOC, over the years, have maintained very large capital investment and have maintained a very strong advantage in globalized and integrated operation. So we will coordinate the capital arrangement for overseas institutions and comprehensive management companies and increase the contribution from the overseas institutions and the comprehensive operation companies. And we'll also strengthen the ROE assessment to improve the return on capital investment so as to improve the overall capital adequacy ratio of the whole group. 
 You're also interested in the dividend. Actually, every year, you will raise this question. In 2023, the payout ratio remained 30%, and the BOC will continue to focus on the 14th Five-Year Plan development target and the capital planning target and based on the overall operational performance, financial conditions and our future development to keep our payout ratio stable. Thank you. 
Chengwen Zhuo: For the interest of time, that's it for the questions from investors and analysts. If you have any further questions or inquiries, you may contact our IR team. 
 Next, I would like to hand over to Yu Ke to chair the Q&A session for media. 
Yu Ke: Thank you. I'm Yu Ke. Today, I'm speaking here in my new role. So it's really a great honor for me. I hope that in the future, I can have more discussion and dialogue with friends from the press and to provide you with better services. 
 Next, I would like to invite the media friends from Hong Kong venue to raise your questions. The lady on the third row. 
Unknown Attendee: I'm from China Daily. As pointed out by the Central Financial Work meeting, the state-owned large financial institutions should be the mainstay in serving the real economy. So could you share with us the specific measures BOC has taken in serving the real economy? In particular, how has you -- how has BOC conducted work to facilitate the construction of a modern industrial system and to promote the accelerated development of new quality productive force? 
Yu Ke: Okay. President Liu? 
Jin Liu: Thank you for your question. So I'm a loyal fan of China Daily. The web page version, the newspaper, I read it all. So maybe that's why the question is addressed to me. And I think this gives me the opportunity to further share with you how BOC has studied and implemented the spirit of the Central Financial Work meeting and the Central Economic Work meeting. 
 How to serve the real economy, around this topic, the Central Economic and the Financial Work meeting has pointed out the way for BOC and many other financial institutions. I think one of the important things is to facilitate the development of the new quality productive force and to facilitate the building of a modern industrial system. BOC will shoulder our responsibility as a large-scale, state-owned financial institution and serve as a balance stone for serving the real economy and maintaining financial stability. 
 In particular, we will focus on the following 3 aspects. First, to support the building of a modern industrial system featuring the advanced manufacturing industry, we will strengthen resource allocation and improve policy guidance, focus on the security and stability of the industrial chain and supply chain to promote the optimization and upgrading of the industrial structure and the digitalization and green development of the industries and provide credit support for the businesses in the manufacturing industry so as to make them smarter and greener. 
 By the end of last year, BOC's balance of loans made to the manufacturing sector exceeded CNY 2.5 trillion, up -- and with a growth rate more than 28%. And the loan of balance -- balance of loans to high-tech manufacturing industry exceeded CNY 600 billion, accounting for nearly 24% of the loans made to the manufacturing sector, with a growth rate of more than 28%. And this year, we will continue to provide more credit support for these areas. 
 And second, we'll continue to support the development of the strategic emerging industries to help form the new productive -- new quality productive force. Recently, BOC is actively studying and implementing the decisions and arrangement of the CPC Central Committee around developing the new quality productive force. We will help nourish the strategic emerging industry and have developed the guidance on the -- serving the strategic emerging industries, and we have developed relevant credit policies. We will strengthen credit support for biopharmaceutical, local lifestyle, rare earth, semiconductor materials and the many other sectors. 
 We will optimize the supporting policies and to help form the new quality productive force and strengthen the new drivers for developments. By the end of last year, the balance of loans made to the strategic emerging industries exceeded CNY 1.9 trillion, up by CNY 830 billion over the previous year-end, a growth rate of 74.35%. 
 We will continue to fully understand the new concept of new quality productive forces incorporated into our financial service actions for the development of pure economy, support science and tech innovation. We provide comprehensive services to science and tech clients, provide full life cycle services to key client groups, such as high-tech companies, science and tech companies, specialized featured innovative enterprises. Expand cooperation scenarios with national, provincial, key scientific research laboratories and institutes, key universities, promoting special credit products such as science and tech finance, innovation points loan, IPR pledge loan and other loans extended to specialized, professional, featured, innovative companies, promote special product. Streamline the credit evaluation model, adapt to the characteristics of science and tech, give full play to the comprehensive service features, promote stock and debt investment and other science and technology products. 
 Provide technology, insurance, science and tech leasing products, create a full life cycle diversified, successive financial service model, jointly issued the innovation points and Torch innovation points for BOC Torch products, and also entering the high-tech zone, activities were staged to expand the science and tech financial ecosystem, strengthen the brand image of BOC Science and Tech Innovations Prize. 
 At BOC Hong Kong, we also serve the grand plan of national and Hong Kong development. For example, Metropolis region in northern part of Hong Kong international R&D city, providing the talent, credit, services, science and technology R&D credit products, support their development. By the end of  last year, our science and tech finance credit balance amounted to CNY 1.474 trillion, an increase of CNY 348 billion from the beginning of the year, up by 31%. Comprehensive science and tech finance services totaled RMB 615 billion cumulatively. 
 Recently, HQ, head office and other branches, the science and tech outlets are working hard according to regulatory instructions to speed up our comprehensive science and tech finance innovation to better serve high-tech companies, innovation companies and the projects. Thank you for your question. 
Yu Ke: Okay, President Liu, next question is from the Beijing venue. From Beijing, please, questions? 
 We cannot hear your sound. 
Unknown Attendee: Okay. [indiscernible]. I'm from 21st Century Business Herald. I want to ask the management how BOC views the positioning of the personal finance business in the current environment and risk profile. What is the development strategy and the business focus for the personal finance in this year? 
Yu Ke: Thank you very much. Vice President, Lin Jingzhen, please. 
Jingzhen Lin: Thank you for your question or showing your interest in BOC's personal finance business. According to our observation, with China's per capita GDP continuously stepping on the threshold of middle-income countries in recent years, the demand for consumer consumption and wealth management has been growing rapidly. This is a common feature of the whole world. 
 The role of personal finance is a very important frontline window to serve people's aspiration for a better life. BOC continue to seize this opportunity and is very forward-looking, provide one-stop shop service to the personal finance consumers. Personal finance products can be a way to achieve the Chinese modernization, new breakthroughs, new advantages, gather new momentum. We have made good results in 2023, leading growth in core business. 
 The RMB personal deposits, personal housing loan placement, full volume personal customers, we are ranked the first among comparable peers, an increase in revenues from wealth management and personal domestic settlement businesses also are increasing the fastest in the industry. 
 Second, we strengthened advantages in specialized businesses. Foreign currency personal deposits, the value of the personal settlement transactions, the volume of foreign card acquiring, the number of cross-border wealth management customers, the balance of credit card automatic installment loans, the number of digital RMB-effective merchants and annual cumulative consumption all ranked #1 among peers. 
 Thirdly, the risk indicators remain stable. Nonperforming balance and nonperforming rate of personal consumption loans and credit card loans were the best among financial peers. 
 Looking to 2024, we firmly believe that with the accelerated formation of new development pattern, the gradual implementation of the central government macro control policies, Chinese economy will rebound strongly. And there's plenty of room for the development of personal finance businesses. We'll focus on the development of building a leading bank in full-stack personal finance, be customer-centered to reshape the structure of personal finance capabilities and business development with full-stack technology capabilities, accelerate the construction of unified view of customer information, collaborative customer marketing, service mechanism, build intensive customer operation and risk control system so as to enhance the efficiency of the group's development and create the key capabilities for the improvement and the operation of financial businesses for personal users. 
 First, we need to have a firm strategic orientation, strive to integrate into the construction of building a financial powerhouse, do a good job of financial work in 5 areas. We will give full play to enterprise services serving the 5 areas of work, be coordinated and synergistic, provide full portfolio of financial services. 
 In terms of science and tech finance, we will focus on laboratory scientists, national engineers and other strategic talents, the good of product services and the rise in benefits, give full play to the entrepreneurs' office service platform mechanism focused on the specialized professional features and innovative enterprises, high-tech companies, provide personal family enterprise and social integrated services. Basically, individuals plus family plus company and plus social services. 
 In green finance, increase the development of green finance funds, new energy vehicle, installment payment and other products. In inclusive finance, continue to reduce fees and concessions, optimize the online system of national student loans, actually promote postgraduate student loans. In pension finance, seize the opportunity of full liberalization of personal pensions to enrich the personal pension product portfolio, strengthen the construction of the personal pension mobile banking module. 
 In digital finance, promote the iterative upgrading of domestic mobile banking, enhance the service capability of microbanking, telephone banking, intelligent outbound calling, at the same time, strengthen the standardized construction of overseas mobile banking platforms, take the opportunity of digital transformation of overseas personal finance businesses, serve the trade and connection of people-to-people exchange between China and the world, provide service to high-quality opening-up to the outside world. 
 Second, we are determined to put customers first, make every effort to improve the service quality and efficiency, create a specialized product service matrix. In wealth management, continue to upgrade the capability to select products for the whole market, allocate assets in the whole process, accompany customers in the whole journey, help customers manage their expectations and go through the full life cycle, realize the win-win situation for both the bank and the customers across different economic cycles. 
 In credit business, increase the investment in personal housing loans focused on supporting the first home purchase and housing improvement needs of residential households. Improve customer loans, credit card installment services to meet the needs of customers for household redecoration, car purchase, daily consumption and other food chain services. In cross-border services, promote traditional advantages in foreign exchange settlement, foreign currency banknotes, seize the opportunities such as individual cargo trade project, optimization of cross-border wealth management business rules to continue and consolidate our distinctive advantages in the foreign exchange sector. 
 In payment services, we will implement the State Council's requirement on optimizing payment services, provide multichannel services such as credit card, cash, QR code scanning and digital RMB services, with a focus on solving the payment service blockages for expatriates coming to China, the elderly population, et cetera. Improve payment services for foreign residents by expanding the scale of overseas card-accepting merchants, guaranteeing the supply of cash banknotes, increasing the deployment of foreign currency self-service-trained machines, ATMs. Strengthen the service quality to expatriates or visitors to China. Strengthen the outlets, renovation, smart counters, mobile banking to accommodate the needs of aging population, help the elderly customers to cross the digital divide. 
 Thirdly, determined to lead by science and technology, focused on accelerating the pace of transformation, consolidate the foundation of intensive operation and management, adhere to the development of digitalization, online migration, mobility, intelligence, [ part of which ] new productive forces with full-stack science and tech thinking. Speed up the advanced development business, build a good capability platform, strengthen digitization support, promote infrastructure construction focused on marketing rights, products, payments, risk control, customer service and other areas. Promote system integration and optimization, achieve iterative upgrading of key functional modules and multichannel reuse. Build service channels and promote online and mobile processes, focus on the optimization of our live channel operation capabilities, promote the comprehensive online service of personal finance products. 
 [ Dive deep into ] the value of scenarios, focused on financial and nonfinancial things such as clothing, food, housing, transporting -- transportation, shopping, entertainment, education, leisure and the medical care of customers, relying on mobile banking to provide points of contacts, accelerate the transformation from value, from traffic to users, to customers and then to product sales to go through the whole chain. 
 Glass cutting-edge applications and promote intelligent transformation, launch mobile banking intelligent voice assistance to achieve accurate identification and real-time response to customers' differentiated needs, deepen the cooperative operation of [ fortune ] based on the unified view of customer information and the multidimensional product labeling system to provide customers with customized product intelligence. 
 Strengthen the exploration and application of a large model in the field of customer service, continuously improve intelligent chatbot service capabilities, accelerate the construction of intelligent chatbot services, accelerate construction of the wealth service system, enhance the satisfaction and product safety. 
 BOC will continue to focus on the customers and to seize the trends and to defend our advantages and to work all out to form a leading bank in the full-stack personal finance to achieve the high-quality development and high-level security of our personal financial business. Thank you. 
Yu Ke: Thank you. Mr. Lin. And another question from the Beijing venue, please. 
Unknown Attendee: I'm from [ ChinaNet.com ]. It has become consensus to empower economic and social development through extensive and deep digital transformation. So what are the existing results and next step plans of BOC in the area of digitalization? And how will BOC empower its own business development through the results of digital transformation? 
Yu Ke: Okay. Thank you for your question. We've also noticed that digital financing has been a buzzword among the media front. And the digital transformation is a go-to question for the management in the results announcement meetings. 
 Okay. This question will be for Madam Meng. 
Qian Meng: Thank you for your question, and thank you for your interest in digital finance. In 2023, BOC actively implement the strategy of high-level, high-tech independence, and we have earnestly implemented the guiding opinions on digital transformation of the banking and insurance industry. And we have accelerated the digital innovation and the -- high-tech innovation and digital transformation. By the end of last year, BOC had 100 -- had 14,500 employees on the high-tech area, and we have invested CNY 22.397 billion in our high-tech investment, up by 3.97% year-on-year. We've mainly focused on the 3 areas. 
 First, consolidate the foundation of digital transition, we have accelerated the construction of the green data center. The data center in the Helinger campus of Inner Mongolia have been put into operation for the first phase, and it has an installed capacity of over 30,000 servers. It will empower the transition of the digital structure. And we have thus improved our security guarantee mechanism, and the availability and accessibility ratio of the business rank among the first -- rank among the top among the peers. And we have reshaped and upgraded the services around debit card, credit card and other basic financial products. And we have further enriched the functions on the data platform and have displayed the results in a more intuitive way, and it covers more than 80% of the institutions. And in terms of AML, anti-fraud and targeted marketing, we have developed a lot of data analysis apps, which has support for serving the customers and has leveraged the value of the data assets. 
 And second, improving the capability of digital services. And we have proactively served the foreign trade and diplomatic work of the nation. We have supported clearing of over 50 currencies, ranking second among the peers. And we have issued version 6.0 of the personal mobile banking overseas, which cover clients in 30 countries and regions. And this has improved our online serving capabilities in local markets. And the BOC e-corporate platform has provided integrated cross-border matchmaking services for nearly 50,000 enterprises in 126 countries and regions and helping closing more than 4,000 projects. 
 Third, accelerate fintech innovation. Five results have won the fintech development award by the PBOC, and the enterprise technology platform project has won the first prize. And our improved mobile banking functions have been well recognized. We have also -- have analysis and recognition of video streams, which has helped us digital sensing and the profiling, and this has helped us improve the quality of compliance management. We actively employed AI technology and actively explored efforts in customer experience, risk control and smart assistant coding. As the next steps, BOC will continue to focus on digital finance and implement the group's strategy and focus on key projects so as to empower high-quality development of the bank through digitalization. 
 First, data and IT infrastructure construction. We will advance the integration of digitalization and business to reduce cost and improve efficiency. We will optimize the layout of computing power infrastructure and better use the AI technologies. We will transform the technology structure and train more talents. We will also improve the output efficiency and to build a strong line of defense for cybersecurity and production security. 
 And second, to build a digitalized operation and management system, accelerate the construction of such systems as customer experience management, smart risk management, anti-fraud management. 
 And third, to promote the digital transformation of business operations. We will leverage the supporting and fundamental role of digital finance and to improve the quality and the efficiency of technology finance, group finance, inclusive finance, pension finance and also to provide public services and to focus on some key scenarios such as serving the foreigners working and visiting China and payroll agency services. 
 And number four, we will consolidate our advantages in global business and our integrated services and to provide the IT support for our group's strategy and to deepen the digital transformation of the cross-border business and to strengthen linkage and connection between the different subsidiaries and branches and to provide better solutions for the customers and to serve high-quality opening-up of the nation. Thank you. 
Yu Ke: Thank you, Madam Meng. Okay, back to the Hong Kong venue. I'd like to invite a question there. 
Unknown Attendee: I'm from Phoenix TV. We know that globalization or globalized business has been a traditional advantage of BOC. So for the next stage, what's the development strategy of global business? And how will BOC leverage its global service network to promote the internationalization of RMB? 
Yu Ke: Okay. I would like to address the question to Mr. Liu. 
Jin Liu: Thank you for your question. You talked about globalization. Indeed, global business is our defining feature and defining gene of BOC. And BOC has obviously been attaching great importance to globalization. And we will continue to consolidate and expand our advantage in the global business and to serve the high-level opening-up of the nation. 
 I would like to address your question from the following points. First, average our globalized advantage and to serve the national strategy and, in this process, achieve high-quality development of the bank. BOC will actively leverage our role as the main channel for cross-border financial services and deeply engage in the BRI cooperation, the China-ASEAN economic cooperation, the Hong Kong, Macau, Guangdong, Greater Bay Area and the Land-Sea New Corridor, the Free Trade Zone and the Shanghai-Hong Kong International Financial Center, our construction projects and to better serve key exhibitions, such as the CIIE, Guangzhou Expo and [indiscernible]. 
 And second, we will expand our global layout and to consolidate and expand our advantage in global business. BOC earnestly implemented a differentiated strategy for overseas institutions and improved the quality, scale of local business. In 2023, our comprehensive service capabilities and market competitiveness in Hong Kong, Great Britain, Australia, Luxembourg, Dubai, Taiwan, Japan, Italy, Chile and Mexico have been further improved. And we've also accelerated the intensive operation management overseas. 
 And in March 2023, BOC has set up the mid to back office, a shared service center for Europe. And the BOC Hong Kong continued to leverage its advantage in corporate governance and capital to strengthen the integrated and the regional management of ASEAN and Southeast Asian regions. We have implemented the coordinated management of South Asia, South Pacific and Latin America area to build the synergy across the region. 
 Third, we will continue to improve our global service capabilities to empower the customers. We will provide a comprehensive and efficient financial services for the customers. We focused on the new development pattern and the one-contact-point global response mechanism and build a synergy between commercial banks and the comprehensive management companies to serve high-quality opening-up and bringing in. We actively support the export of EV lithium battery and PV overseas warehousing and the innovation of new digital products and also the overseas e-commerce business. We also focused on serving the local/foreign clients and the Fortune 500 companies. 
 And number four, to improve our risk compliance capabilities, BOC has a bottom line mindset and have a strong sense of responsibility to strengthen communication with overseas and domestic regulators and strictly comply with the laws and regulations where we operate to strengthen the compliance foundation, both overseas and in China. And also, we have focused on the problems pointed out by the regulator to further improve our business and to implement the comprehensive risk management measures and to better control and manage the quality of overseas assets. 
 The second question is about internationalization of RMB. So this has been our featured business for the years. And we have played a very positive role in promoting the internationalization of RMB. First of all, we'll continue to be a mainstay in cross-border RMB settlement services across 2023. The domestic branches of BOC has reached CNY 12.8 trillion of cross-border RMB settlement amount, up by 23.3% year-on-year. Also, we proactively serve the high-level opening-up of the nation and has become the only main cooperation bank for the central party clearing businesses. 
 And second, we have actively facilitated the building of an offshore RMB market. In 2023, the overseas institution of the BOC handled CNY 44.5 trillion of cross-border RMB settlement amount, up by 114.65% year-on-year. We have also helped issue the Panda Bond in Egypt and the commodity copper sales, RMB settlement for Zambia. We've also strengthened international corporation around the RMB internationalization for BRI countries. And now BOC has 15 overseas institutions that are recognized as the RMB clearing bank, which has played a very important role in the -- cultivating the offshore RMB market. 
 We also supported the construction and the promotion of SIPs, and 38 institutions, including the head office, are direct participants of the SIP system. We've also attracted 630 peers to access SIPs through BOC. So through this efficient clearing service, we have facilitated the cross-border trade and investment. 
 So as the next steps, we'll continue to implement the spirit of Central Economic and the Financial Work meeting and to serve as the main channel for cross-border RMB product and services and to improve the -- our competitiveness and global operation level of the group. Thank you. 
Yu Ke: Thank you. Okay. That's the end of the Q&A session. As you have heard, the management has responded to many of the questions you're interested in. And thank you for your interest in BOC. 
 At the beginning, actually, Board Secretary Zhuo has told us that the 2023 Annual Report is available now. And the Chairman Ge Haijiao has mentioned the 5 commitments and the 5 major roles. In 2023, we will continue to improve financial services side, support the high-quality development of financial services and to serve the high-quality and high-level opening-up. We will continue to put people and customers first and improve the quality and efficiency of our services. 
 We will mitigate and prevent financial risks, deepen the reform and innovation. So we will continue to implement the arrangement of the CPC Central Committee to be the mainstay of serving the real economy and to serve the idea of 2 circulation and be a balance stone of maintaining financial stability and become a responsible large-scale, state-owned financial institutions so as to make our own contribution to modernization with Chinese characteristics. 
 So I hope that you will continue to show your support for BOC, and we will continue to achieve high-quality development with renewed commitment and confidence. That's the end of today's results release. Thank you. 
 [Statements in English on this transcript were spoken by an interpreter present on the live call.]